Operator: Good day, and welcome to The Joint Corp. First Quarter 2023 Financial Results Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to David Barnard of LHA Investor Relations. Please go ahead.
David Barnard: Thank you, Dave. Good afternoon, everyone. This is David Barnard of LHA Investor Relations. On the call today, President and CEO, Peter Holt, will review our first quarter 2023 performance metrics and provide an update on the business. CFO, Jake Singleton, will detail our financial results and guidance. Then Peter will close with a summary and open the call for questions. Please note, we are using a slide presentation that can be found at https://ir.thejoint.com/events. Today, after the close of the market, The Joint Corp. issued its financial results for the quarter ended March 31, 2023. If you not already have a copy of this press release, it can be found in the Investor Relations section of the company's website. As provided on Slide 2, please be advised today's discussion includes forward-looking statements including statements concerning our strategy, future operations, future financial position and plans and objectives of management. Throughout today's discussion, we will present some important factors relating to our business that could affect these forward-looking statements. The forward-looking statements are made based on our current predictions, expectations, estimates and assumptions and are also subject to risks and uncertainties that may cause actual results to differ materially from the statements we make today. Factors that could contribute to these differences include, but are not limited to, our inability to identify and recruit enough qualified chiropractors and other personal to staff our clinics, due in part to the nation-wide labor shortages and an increase in operating expenses due to measures we may need to take to address such shortage; inflation, exacerbated by COVID-19 and the current war in Ukraine, which has increased our cost and which could otherwise negatively impact our business, the potential for future disruption to our operations and the unpredictable impact on our business of the COVID-19 outbreak and outbreaks of other contagious diseases, our failure to develop or acquire company-owned or managed clinics as rapidly as we intend. Our failure to profitably operate company-owned or managed clinics for its own strategies and negative opinions posted on the Internet, which could, which could drive down the market price for our common stock and result in class action lawsuits, our failure to remediate future material weaknesses in our internal control over financial reporting, which could negatively impact our ability to accurately report our financial results, prevent fraud or maintain investor confidence and other factors described in our filings with the SEC, including the section entitled Risk Factors in our annual report on Form 10-K for the year ended December 31, 2022 filed with the SEC on March 10, 2023 and subsequently filed current and quarterly reports. As a result, we caution you against placing undue reliance on these forward-looking statements and encourage you to review our filings with the SEC for a discussion of these factors and other risks that may affect our future results or the market price of our stock. Finally, we are not obligating ourselves to revise our results or publicly release any updates to these forward-looking statements in light of new information or future events. Management uses EBITDA and adjusted EBITDA, which are non-GAAP financial measures. These are presented because they are important measures used by management to assess financial performance. Management believes they provide a more transparent view of the company's underlying operating performance and operating trends than GAAP measures alone. Reconciliation of net income to EBITDA and adjusted EBITDA is presented in the press release. The company defines EBITDA as net income or loss before net interest, tax expense, depreciation and amortization expenses. The company defines adjusted EBITDA as EBITDA before acquisition-related expenses, stock-based compensation expenses, bargain purchase gain, net gain or loss on disposition, or impairment and other income related to the employer retention credits. Management also includes commonly discussed performance metrics. System-wide sales include revenues at all clinics, whether operated by the company or by franchisees. While franchise sales are not recorded as revenues by the company, management believes the information is important in understanding the company's financial performance because these sales are the basis on which the company calculates and records royalty fees and are indicative of the financial health of the franchisee base. Comp sales includes the revenues from both company-owned or managed clinics and franchise clinics that in each case have been open at least 13 full months and exclude any clinics that have closed. Turning to Slide 3; it is now my pleasure to turn the call over to Peter Holt.
Peter Holt: Thank you, David, and I welcome everybody to the call. As we noted in March we enter 2023 with a 45 foundation to support our clinics as well as our longterm clinic expansion and financial growth. Today, I'm pleased to report on Q1, 2023 we performed well during the continued economic uncertainty and expect our robust underlying clinic model and unit economics to thrive as markets improved. For those investors who are new to the company, the Joint is revolutionising access to chiropractic care by providing an affordable cost share style membership based services and convenient retail setting. Turning to slide 4 let's review our financial metrics for the first quarter 2023 compared to first quarter 2022. System wide sales grew 17%. Comp sales for clinics have been open for at least 13 full months increased 8%. Revenue grew 27%. Adjusted EBITDA improved to $2 million. And on March 31, 2023, our unrestricted cash was $14.8 million compared to $9.7 million on December 31, 2022. Turning to slide 5, I'll discuss our clinic metrics. During Q1, 2023 we opened 33 clinics 29, franchised and 4 Greenfield. This compares to 31 clinics 27 franchising and 4 Greenfield in Q1, 2022. Our greenfield strategy look like clinic sites where there will be a capture where they'll capture pent up demand in new markets where they can rapidly build a solid presence. This quarter we augmented existing clinic clusters in California, Georgia, Missouri and North Carolina. As previously stated in 2023, we are focusing on supporting our existing greenfield clinic portfolio as it matures and moderating our pace of new greenfield openings. In the first quarter of 2023, we closed one franchise clinic which will be relocated. That compares to closing one franchise clinic in the first quarter of 2022. Once again, our closure rate is one of the lowest in franchise community at less than 1%.  In summary, on March 31, 2023 we had 170 clinics in operation, consisting of 740 franchise clinics, and 130 company owned or managed clinics. The portfolio mix remained 85% franchise clinics and 15% company owned or managed clinics. At quarter end we had 218 franchise licenses and active development, which is a solid pipeline for a future franchise clinic opening. Subsequent to quarter end in April, we opened one greenfield clinic at Fort Dix, New Jersey. This is our fourth location opened in conjunction with the Army and Air Force exchange service.  Turning to slide 6. In Q1, 2023, we sold 17 franchise licenses, which is the same number as Q4, 2022, and compare it to 22 licenses sold in Q1, 2022. This past quarter, the existing franchisees bought approximately 59% of our new licenses. This means that even in uncertain environments, those that are intimately involved in our network are reinvesting in the brand. This is a powerful indicator of the strength of our business model, demonstrating the health and viability of a franchise system. On March 31, our [indiscernible] count with our aggregate tenure minimum development schedule for the new RD territories established as 2017 at 626 clinics. Turning to slide 7, let's review our marketing efforts. New patient acquisition continues to be a focus. For Q1 of 2023 the average number of new patients per clinic was done approximately 7% from the same quarter a year ago. To further improve new patient leads and conversions our marketing team has invested in pay channel maximization and new paid digital tactics, as well as prioritizing non digital approaches such as guerilla marketing. We've created multiple learning modules to effectively walk our franchisees through best practices in digital marketing, guerrilla marketing, traditional awareness, marketing, and referrals. In February, we held our annual love the joints and social media campaign and giveaway were 12 lucky winners received a gift of one year of free chiropractic care. During this promotion, we saw significant increases in our overall engagement in the Joint National Instagram account where we gained almost 15,000 entries and comments and more than 20,000 likes, and attracted over 13,000 new followers. In March we held our new patient contest. This event incentivized clinic team to promote the joints $29 new patient offer the assignments referral cards and local business partnerships and community event. For March the network increased new patients over 19% compared to the prior three months average. In terms of our digital efforts in March, we also launched a test to capture leads to a chat technology, as well as leverage enhance doctor of chiropractic profiles on an online medical sites as a new source for new patient leads. For the quarter, organic traffic to the site increased 14% year-over-year. As a part of our PR effort, we continue to focus on the education and benefits of chiropractic care and generate brand awareness about the Joint. Our PR strategies are reaching new highs and in Q1 alone, we surpassed 1 billion in earned editorial impressions. And with that, Jake, I'll turn it over to you. 
Jake Singleton: Thank you, Peter. Turning to slide 8, I'll review the financial results for Q1, 2023 compared to Q1, 2022. System wide sales for all clinics open for any amount of time increased to $115.4 million up 17%. System wide comp sales for all clinics open 13 months or more increased 8%. System wide comp sales for mature clinics open 48 months or more increased 1%. Revenue was 28.5 million dollars up $6 million or 27%. Company owned or managed clinic revenue increased 36% contributing $17.1 million. Revenue from franchise operations increased 15% contributing $11.3 million. The increases represent continued growth in both the corporate portfolio and franchise base. Cost of revenues was $2.6 million, up 13% over the same period last year, reflecting the associated higher regional developer royalties and commission. Selling and marketing expenses were $4.2 million up 27% over the same period last year driven by an increase in advertising fund expenditures from a larger franchise base and increase in local marketing expenditures by the company owned or managed clinics and the timing of our national marketing funds spend. Depreciation and amortization expenses increased $713,000 up 44% compared to the prior year period, primarily due to the increase in the number of greenfield clinics developed and franchise clinics acquired. G&A expenses were $19.9 million compared to $15.4 million up 30%. Reflecting the cost of support the increased clinic count revenue growth and higher payroll to remain competitive in the tight labor market. Operating loss was $678,000 compared to a loss of $176,000 in Q1, 2022, mostly driven by the previously mentioned higher depreciation and amortization expensive. Other income was $3.8 million, reflecting the receipt of employee retention credits, compared to other expensive $16,000 in Q1 of 2022. Income tax expense, including the impact of the employee retention credits was $842,000 compared to $13,000 in Q1 of 2022. Net income was $2.3 million, or $0.16 per diluted share, compared to a net loss of $206,000 or $0.01 per diluted share in Q1 of 2022. Adjusted EBITDA was $2 million, compared to $1.8 million in the same period last year. Franchise clinic adjusted EBITDA increased 6% to $4.8 million. Company owned or managed clinic adjusted EBITDA increased 68% to $1.6 million reflecting the maturation of our clinics in the corporate greenfield portfolio, as well as our concentrated effort to optimize labor. Corporate expense is a component of adjusted EBITDA was $4.4 million, up $671,000 or 15% higher than Q1, 2022. Onto a review of our balance sheet and cash flow at March 31, 2023 our unrestricted cash was $14.8 million compared to $9.7 million at December 31, 2022. This reflects $6 million in cash flow from operations which included the receipt of the employee retention credits of 3.9 million. These were net of $1.2 million in investment in opening greenfield clinics and upgrading existing clinics. Also, we continue to have access to additional cash through a line of credit with JP Morgan Chase. To-date, we've drawn 2 million and have an additional $18 million available.  On slide 9, we are reiterating our guidance for 2023. We continue to expect to grow revenue to between $123 million and $128 million compared to $101.9 million in 2022. We continue to expect adjusted EBITDA to be between $12.5 million and $14 million compare to $11.5 million in 2022. We continue to expect franchise clinic openings to be between 100 and 120 compared to 121 in 2022. Please note historically, guidance for company owned or managed clinic opening included a combination of both greenfield and acquisition. While we continue to acquire previously franchised clinics, these transactions are opportunistic and are no longer included in our guidance. For greenfield clinic openings, we continue to expect to open between 8 and 12 compared to 16 in 2022.  And with that, I'll turn the call back over to you, Peter. 
Peter Holt: Thanks, Jake. Turn slide 10. While managing today's uncertain economic conditions including inflation and wage pressure, we remain focused on what we can control and continue to execute programs to improve performance and drive long term growth. We continue to methodically implement our multiyear corporate initiative to ford the chiropractic dream. Over the past several years, we've been increasing our educational outreach efforts with associations and schools of chiropractic to drive awareness and support recruitment. As our relationships with these institutions continue to improve these endeavors are being felt across the network nationwide. In fact, we have more interest than ever from doctors in these recent graduating classes and we're attracting new doctors of chiropractic to the Joint. To harness the power of our data, we've launched our business intelligence and analytical reporting tool, and we're surely launching an automated marketing program. This will reach existing lapsed and potential patients to ensure that we send the right message to the right patient at the right time. To accelerate the pace of our clinic growth, we remain focused on our franchise sales in addition to opening greenfield clinics. As reported this quarter, we continue to increase the number of our clinics opened year-over-year. Our network is well-positioned for expansion as the economy improves, frankly, with only 16% of Americans using chiropractic care in the last 12 months and spending $19.5 billion on it annually the chiropractic patient in need is growing, and our market opportunity is considerable. Based on our current patient demographics, we are approaching our near term target of 1000 clinic and are well positioned for a longer term goal of 2000 clinics. We expand our network and potential base by developing rural, urban and possibly international clinic models, we will broaden our long term market potential. We are committed to capturing a greater share and growing the overall market. With that day, Dave I'm ready to begin the Q&A. 
Operator: We will now begin the question and answer session. [Operator Instructions] Our first question comes from Jeremy Hamblin with Craig-Hallum Capital Group. Please go ahead. 
Jeremy Hamblin : Thanks so much for taking the questions. I wanted to start by asking about the sales and marketing. it was up about $900,000 sequentially from Q4 and about that same amount on a year-over-year basis. You notice there was a change in the timing of the national marketing fund spend. I wanted to see if you could provide a little bit more detail on how and what that was and how it may impact the rest of the year if there's any other kind of timing differences that we should expect looking forward? 
Peter Holt: Yes, Jeremy, great question. And I would say the majority of that is just the increase of the collections from the increase clinic count. There is a chunk of that, that is really just timing quarter-to-quarter. Right. So it depends on the timing of certain campaigns or when we're pushing collateral out to the clinics. And so I would categorize that as just a slight front loading in Q1. But we expect that to normalize as we continue on. So there's really no kind of one time item to call out there. I think it's just a slight quarter-over-quarter timing variance. 
Jeremy Hamblin : Got it. Okay. And then also wanted to just get a little bit more color on the net employee retention credits, which I believe was like $3.9 million. I think I don't know if that's related back to like FICA credits from COVID still, which is similar to what we've seen in the past with other businesses, but wanted to just see if you could help provide a little bit of color on that as well. 
Peter Holt: Sure, yes. And it is related to some of the jobs act credits that were made available. Our qualification period was four periods in the first two quarters of 2021. And so really the timing of both the application and then the processing through the IRS, so we just happen to receive the funds in the first quarter of '23 which kind of triggered our particular recognition. 
Jeremy Hamblin : Got it. And if we back that out, that's about the EPS on a normalized basis would be like $0.04 per share loss or so. 
Peter Holt: That's about right. Yes. It's really that net 3.9. we recorded that in other income. So adjusted EBITDA neutral, but it does have that boost to net income. 
Jeremy Hamblin : Got it. And then last question, I'd wanted to before I hop out of the queue, I wanted to just get an understanding in terms of what you're seeing for clinic performance corporate versus franchise that look like you saw a nice little step forward here on the company operated clinics, like if we're thinking about it on a, let's call it revenue per average clinic basis whereas you saw maybe a little bit of a step down overall, maybe in the franchisee performance at least certainly the royalties you earned from that basis. I just wanted to get a sense in terms of what you're seeing company operated versus franchise performance. 
Peter Holt: Yes. I think, in both cases, it's reflecting some of the use within our system. So our corporate portfolio, with the number of clinic additions we've made over the last two years, I think we're going to have a natural leg up on the overall system average, just based on our younger greenfield connects continuing their maturation. Again, when you're talking about overall growth, we added another 29 franchise units in the quarter. And so again, if you're using that end of quarter number as your final denominator there that's going to kind of decrease the revenue on a per clinic basis. So we still posted same store sales of 8% as a system. And again, not a huge disparity there between corporate and franchise performance. So we're still pleased with the organic growth of the unit. But as you look at the denominators, the number of new clinics we have coming into the system, I think you could get some fluctuation there on a revenue per clinic basis. 
Peter Holt: And then what I'd add to that, Jeremy is that historically, that was an interesting and unusual for a franchise system is that our corporate portfolio as operated parallel or equal to or slightly better than our franchise segment. And that we saw that changed a little bit in as we're coming into the end of '21 and that we made some corrections. And so if you look at kind of the overall performance of '22, that particularly by the end of the year, and '22, we got our corporate portfolio operating equal or better to our franchise portfolio. So we have seen kind of that dip that we went through, we made some changes in those operations. And we're now seeing that come back until we look at some of the key metrics, whether we're talking about conversion, or attrition is that the corporate portfolio continues to do equal or better than our franchise community. The one area where I think that the franchisees continue to do better than corporate, which we're so focused on is our new patient count, and that we're seeing our new franchisees have a higher new patient per clinic per month than the corporate portfolio at the moment. 
Jeremy Hamblin : Got it. That's great color. Just one more if I could sneak in here, in terms of thinking about kind of mature store comps you can you're seeing just like a little bit of degradation there. And I wanted to get a sense in terms of you know, that price increase that you took last March, what percentage of your patients are on a legacy pricing plan at this point in time? 
Peter Holt: Yes. We continue to see about a 5% shift per quarter of our active members. Moving on to that, that new price point. I think as I look at the legacy mix now, I think we're trending about 35% of our system is still on some legacy price points. The majority of those being on the pricing one year ago, but because we have an existing current policy to grandfather in active members that their signup rate, we do have some that are they're below that last year. But the majority are our one two year ago or now on the higher price point. 
Jake Singleton: Ye. And we've talked about that before in that group that's been there for a long time, it's probably around 15% that we e don't see that moving much over time. 
Jeremy Hamblin : Got it. Thanks so much for taking the questions and best wishes. 
Peter Holt: Thank you very much. 
Operator: Next question comes from Jeff Van Sinderen with B. Riley. Please go ahead. 
Jeff Van Sinderen: Hi, everyone, and congratulations. It's great to see the 8% comp. Multipart questionnaire if you can bear with me, but wanted to ask a little bit more on the patient retention, attrition, new patient add metrics. I guess any more color you can share around that? And what do you think will drive the new patient as backup power? And then maybe also, how are you faring in terms of the Google search and location elements that I know where there were some changes there? And then any change you're seeing in terms of influencing new patient ads, given the macro backdrop? And then would it make sense to promote more on price to get new patient ads? I know a lot there apologize. 
Peter Holt: I'm going to try to remember all of those components. I mean, what you're really saying is I really focused on Jeff has, of course, new patient counseling. So are we [indiscernible] and if you look at that, in terms of where do our new patients accounts come from. They're really three sources, as we talked about before. Number one referral it's existing patients who refer their friends and family to come in and use the services of our clinic. And that's an all medical professionals that's probably the number one source of a new patient counts. And for us, that's probably averaging right around 35% on a network basis of are coming into the clinic, because have they been referred by a friend or family. Well, it's interesting to watch over time is how increasingly the digital marketing campaign is essentially a part of our new patient count. So right now, we can track today that roughly 63% of our new patients have touched us digitally. So and which where we can measure and patient attribution is always a little tricky, because if you go online, because you saw the ad, or use the TV or whatever was a coupon, but that's increasingly more important to us. And that's when we really saw that change in algorithm with Google Web [indiscernible] it became a higher rating or higher metric to push you up in the SEO search, and that we did make a series of changes to address that. Some of them we can't because [indiscernible] and so if you've got three clinics in front of you, wherever that patients who's doing that searches, that's going to change that search order. What we can do, as yet really focused on optimizing our microsites and making sure that we've got the backlinks and we've got videos and updated photographs, which again, helps very much in your ranking. And we've been working very closely with our franchisees to make sure they're doing that really critical effort that we're also one of the changes was that in the old days before the algorithmic changes that a lot of weight was given to your overall publishing on the internet. And we continue to this day are the largest publisher on online on chiropractic. But it was more what we call short form activity. And that's been changing. And so now what we're doing is seeing that you're getting greater recognition or greater waiting for what's called long form. And so we're changing the way in which we're publishing online to make sure that we're able to grab that attention when you're getting that search and being on the top of that list. And so, we're also looking at different methodologies that we haven't used before. So we've got a campaign now, where TikTok is we're have a program that just actually launched on March or May 1. So we'll see the results of that. We're also launching at the end of this month, our automated marketing campaign. So what we're doing now is that those patients that are touching our website, or their existing patients or lapsed patients, we can automatically direct to them specific messaging so that again we're getting the right message to the right person at the right time in their patient journey. And so more to come on the results of that program, but we're really excited to see that launch at the end of this month. And so, these are some of the key factor or key activities that we're doing to ensure that we're increasing that patient count. And then the other last bucket of new patients for us is what I'll call that Guerilla marketing. It's that sign store, it's the coupon drop, it's an outreach to the gym or to the hospital or to the apartment building to make sure that you're educating that that potential customer who lives works in trial hold on that five to 15 minute radius around that clinic, that they're aware that you're there when they need that relief from pain. So those are just the I hope I kind of caught most of your questions as it relates to the new patient count. But that's what we're doing to make sure we're addressing this critical issue for the organization. 
Jeff Van Sinderen: Okay, that's really helpful. And then any color you can give us if there are any changes, you're seeing an underlying trend so far in Q2 maybe that you're seeing versus Q1 or Q2 last year? Just any other color here since the quarter ended? 
Peter Holt: Well, we typically obviously, don't comment on upcoming quarters, because you will get to the about three months. But what I say is for all of us is that we're in a time of kind of economic uncertainty. And I don't know we're not in a recession, but there's a lot of concern about it, we've got the other thing, failures are spooking everybody and that. And so we did. I think for all of us, we're trying to figure out what comes next in the second quarter, the third quarter, the fourth quarter. And so what we're really focused on Jeff, is all the things that we can control. And so all that can be associated with new patient count, making sure that we're as effective as possible in one of our key metrics, which is conversion, conversion new patients to our membership. And so for last year, 84% of our sales were new membership. And so we're really happy we're seeing, for example, for the quarter is our new pace, our conversion rate is right over 50%, which is it was a very, very high number for us. So we're really excited about that. The other metric that we really pay attention to is that the attrition rate, so how long do they stay with us? When did they drop off? And so we've seen that attrition rate continued to stay very low or to improve. And so those are the things that we can really focus on, as we all try to figure out what's going to happen to Q2 and beyond. 
Jeff Van Sinderen: What do you think and then just as a follow up to that, Peter, what do you think that I mean, let's just say we do go into recession maybe high probability that we do people will still are not going to want to live with pain, even in a recession, when you think they'd prioritize getting that pain handled.
Peter Holt: Absolutely. And then again, we haven't really, as a system ever gone through a full recession. But I follow that logic, Jeff, is that as people are tightening their belts and making decisions, it feels like they're going to be more willing to give up that cup of coffee or that frozen yogurt, then pain relief. I think another thing that too, that we think about as we go through whatever this economic uncertainty is going to be is that right now that our ideal family income is between 50,000 and 105,000. And so that is not a that high end person who is our typical customer or patient. And so what that means it's very often when we go into those markets, where you have a really high income per capita, is that we're quite frankly too inexpensive for them. It's like no, no, no, my son is going to have $125 to adjustment, not a $29 adjustment. But I think is that economic concern filters to a greater part of the economy and more people are in fact changing those decisions or trying to be more thoughtful in their spend, I think you are going to see the top of that funnel open up a little bit and say, well how bad can that $29 adjustment be? And so, we'll see that. But I do think that there's a real opportunity for the upper end of that funnel opened up a little bit at the bottom of that funnel as it relates to income per capita time's up. 
Jeff Van Sinderen: Makes sense. Okay, thanks for taking my questions. I'll take the rest offline. 
Peter Holt: Thank you very much. 
Operator: Our next question comes from George Kelly with ROTH Capital Partners. Please go ahead. 
George Kelly: Hey, everybody, thanks for taking my question. So maybe to start with a couple of my [indiscernible] segments. Just curious, on the profitability there. How much visibility do you have? It seems like the whole plan of the maturation of these new stores and everything the margin improvement has been kind of spotty. Another quarter of I would call kind of mixed looks like there was negative operating income in that in that segment again. So I guess two part question is, what is the visibility like there for the rest of the year? And aside from the maturation of these new clinics, what else can you do to drive margin in that business? 
Peter Holt: Yes. Good question George. We have clear visibility down to the individual clinic level. And we're going through a lot of effort, with a key focus on trying to maintain and drive sequential improvement in that profitability. And so that's really the expectation. We're still in a period where we have a lot of young units in that portfolio and they're still working through their growth curves. And so with that, you're still going to have the margin suppression. But as we look throughout the remainder of the year I am going to be looking for sequential improvement in that segment. We mentioned it in the transcript, we're also kind of looking at our labor optimization and trying to make sure that we have the correct staffing levels given our volumes to make sure that we're optimized as it relates to that inside the four wall labor component. And so those are when you have labor that's 50% or more of your unit level cost, depending on age that's a critical component that we're staying focused on because that's a real way that we can control the profitability within each of the units themselves. So it's a critical focus of ours. We're going to continue to work with our operators and continue to drive that. But again, as the clinics mature we're looking for that sequential improvement quarter-over-quarter. 
George Kelly: Okay, and then, second question, same kind of topic, but if we stripped out the new clinics, and just talks about your legacy owned business, is the four wall margin on that store base has that stabilized? Or is that still seeing labor pressure, and it still is compressing a bit? 
Peter Holt: I think we are starting to see some stabilization there. As I look at for wall margin numbers for my mature base, and I'll call that greater than four years we're still doing that mid 20% four wall margin, which, again factors in the labor pressures that we've seen over the last two years, and I've seen it kind of settle in there. We just released our Franchise Disclosure Document for 2023. And I think as you look at the P&L that were submitted by our franchisees, I think they put up a four wall margin in the high 20% as I look at the 358 P&L collected as part of that item 19, item 19 exercise. So we're still seeing overall holding power for our units, even at maturity, and still putting off that strong four wall margin potential that we've always talked about. So the good news is I think we are starting to see some of the labor pressures start to plateau a little bit. And so I'm encouraged by that. We just have to continue to focus on driving the same top line growth to those clinics. 
George Kelly: Okay, that's helpful. And then last one. Back to the new patient discussion. I'm still a little unclear exactly sort of what the issue is there. And I guess, just to be specific and more specific, are there any kind of competitive issues that you see that have arisen people become more challenging, that you're facing in certain markets or anything or anything else, you can isolate that's impacting new patients? 
Peter Holt: Sure, George, and I'll take that I'm going to answer your second question first is that are we seeing an impact of competitive markets on kind of performance or new patient counts? And what I would say is that I have never worked for a franchise system that has a higher or greater first mover advantage than this one, and yes, we are seeing increasingly some competitors. They are still very small and very localized. And so if I look at it as an overall basis, I would answer no, I don't think that's been a factor influencing the performance of the product. If we look at a specific market where other chain has a presence in the Chicago market, or in a specific Atlanta market, then sure there's definitely going to be some competitors there. And, and we are seeing them grow. I mean, so I'm not seeing that out there. But I'm surprised on how slow they're growing. And that yes, over time, I would expect them to have impact on the overall market. But I think there's so much potential for the market itself. I think that's our biggest opportunity is to grow the market. 
Peter Holt: To answer your question on the kind of the new patient kind of what's driving that is that there's no question that as digital marketing campaign becomes more and more important in our new patient drive, is that we really did see that impact with Google when they changed the algorithm because the majority of our online patients were driven by the SEO search. Now we have both paid and organic search. Our paid search continues to perform well. We're seeing a close rate of that that's been continued to stay strong. So that's working for us. But that's been a smaller portion of those leads that are coming online towards us. It's organic search that will with a greater portion of those new patients. And so we are seeing recovery from the changes that Google made. This wasn't first time that Google made changes in their algorithm, and it won't be the last. And so that we're just as you're continually focusing on making those changes so that we can maximize opportunity, specifically in that digital realm, which is only becoming more and more critical for us in terms of that new patient drive. 
George Kelly: Thank you. 
Operator: Our next question comes from Anthony Vendetti with Maxim Group. Please go ahead. 
Anthony Vendetti: Yes, thanks. So first I guess on the on the patient volumes. You mentioned, Peter, that I think you've mentioned this in the past calls as well, that patients are more likely to forego the cup of coffee or something else than their joint treatment? Do you still feel that's the case because they may have to forego the cup of coffee and a joint treatment with inflation and higher interest rates? So I'm just wondering, is your data up-to-date with what's been transpiring over the last couple of months? Has any of that changed? And if so, how? 
A - Peter Holt: Well, it's a great question, Anthony. And the challenges is, I don't have a lot of data in the sense that this company, we were formed in 2010, we've never gone through a recession other than the quick dip in the COVID period, which I'm not sure would be relevant to the conversation. So we have yet to really go through a traditional recession as a an organization so that I could give you data on what the impact it had on our overall sales. And what I would say as well, as I know, we are in this time of economic uncertainty, and there's a lot of people out there that believe a recession is imminent, but at least in the terms of the traditional measurement of that. And one of them being a high unemployment rate, we're not there yet. And so when we look at, okay, what impact that's had, we can talk about the full year for last 2022, we had a an overall 9% increase in comps. And that was kind of the year of uncertainty. Because that gives us a sense of what's going on in the clinic level, if we look at Q1, 2023, we had an 8% comp rate which again, gives an indication that they're still [indiscernible] coming into the clinic, using our services, in this environment of whatever is influencing the decisions we're making as consumers. And you're right, and it's more anecdotal than data driven. But when we think about what people choices that they're going to make with their discretionary income, and it really is a belief that pain relief is going to take a greater weight than some of these other, more optional choices that we make if people start tightening their belt. Pain is a huge issue, and it's not going away. And that's I think, again, one of the drivers of the success of this concept of just how effective it is in helping people manage that pain and stay out of pain. 
Anthony Vendetti: Yes, no, fair point. Just last question on the digital marketing initiatives. I know you measure things very closely. Just can you talk about do you have this measurement where as you're spending dollars on digital marketing? Which platforms and sites? What's working better? How have you transition from one to another? And do you feel like in this environment, you have to spend more to get the same type of patient interaction and eventual conversion? 
Peter Holt: Really a great question. And there's no, the short answer is yes, our whole digital marketing strategy is evolving by the day. We just think a few years ago, TikTok wasn't even a word that would be talking about and now it's a very young billion users and all kinds of issues around it, but it seems to be effective way of marketing for us. And so that's where we're putting more dollars than before. I'd say in terms of the overall spin. And you see that in the P&L is that it's not so much that we are increasing the overall marketing spend. But what we're doing is reallocating that into those sources where we see having a greater impact. So one of the trends that we're seeing is our spin on meta which at one point was kind of being pulled back and that's really where we didn't think our customers were. We've been doing some more work with that we've been increasing some of the allocating more of the spend toward meta, and that we are, quite frankly, seeing some really positive results of that. And so going forward in the next quarter or two, we're going to continue to see an increase on that meta spend and maybe less on the YouTube spend, which we do a lot. And so we're constantly evaluating where are those leads coming from and that's the power of marketing today when I first gotten into my career and I've never been in the marketing discipline, but you do this spend and you have no idea what impact it would have. And so I do my radios or I do my TV and hopefully get a 2% return on whatever. Well, in this day and age, everything is measurable. And that's where that automated marketing, I think can be so essential in terms of making sure we're getting the right message to the right patient at the right time, and then measuring its impact. We can change that message on the fly almost and say, okay, is this message more effective than that message, do that A, B test in a very short period of time, and continually be refining the effectiveness of that project of that platform or whatever we're using. Overarching what I would say to you, is that these activities are only more and more important as it relates to our digital marketing campaign, because look at who's our customer, and we've talked about this before, our customer is not the older person who's looking to get out of hand and using their insurance. The median age of 1.6 million patients acquisition was 37.6 years old. We're almost equally between male and female 45% of millennials 15% of Gen Z and growing. And so when they're looking for their alternative from pain and trying to figure out where do I go to address it, they're online. They are doing that search, they're putting in chiropractor near me close to home, pain relief. And so that's why I think this will continually be only more and more important, because that's actually where all of our patients are. 
Anthony Vendetti: Okay, great. Thanks, Peter. I really appreciate that. I'll hop back in the queue. 
Peter Holt: Thank you very much. Appreciate the sport. 
Operator: This concludes our question and answer session. I would like to turn the conference over to Peter Holt for any closing remarks.
Peter Holt: Thank you. Before I close, I want to note that we will hold our annual meeting of stockholders on May 25 here in Scottsdale, Arizona, and we will also present and conduct meetings at the B. Railey Securities investor conference on May 24th in Los Angeles, and the virtual Oppenheimer consumer growth and e-commerce conference on June 13. Finally, as we're constantly receiving patient testimonials, and this spring, an athlete and parent managing several elements caught our attention. So Miriam from California wrote us and said, I can't say enough about these healers. I have significant and severe chronic spine injuries including degenerative disc disease, bone spurs, osteoarthritis, and bulging herniated discs. I'm an athlete and live a very healthy life that demands a high level of activity and energy output daily. The Joint doctors have been treating me for over a year now along with my son who's five. These magical masters helped me bring my body back in alignment. So it's not an agonizing pain and limiting my demanding life. They're always immensely kind and playful with my little one and never mind me bringing him in or rushed me. I'm very picky about my care team and I promise you won't be sorry coming in for relief from these gems. With my new breast cancer diagnosis I'm even more vigilant about self care. And these angels are my supportive network for good. Thank you and stay well [indiscernible]. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.